Operator: Good day, and welcome to the AMSC First Quarter Fiscal 2025 Financial Results Conference Call. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Ms. Nicol Golez, Director of Communications at AMSC. Please go ahead, ma'am.
Nicol Golez: Thank you, Chuck. Good morning, everyone, and welcome to American Superconductor Corporation's First Quarter of Fiscal Year 2025 Conference Call. I am Nicol Golez, AMSC's Director of Communications. Joining me today are: Daniel McGahn, Chairman, President and Chief Executive Officer; and John Kosiba, Senior Vice President, Chief Financial Officer and Treasurer. Yesterday, after market closed, American Superconductor issued its earnings release for the first quarter of fiscal year 2025. A copy of the release is available on the Investors page of the company's website at www.amsc.com. During today's call, remarks that management may make regarding American Superconductor's future expectations, including financial results, plans and prospects, constitute forward-looking statements. Actual results may differ materially from those indicated by such forward-looking statements due to various factors, including those outlined on Form 10-K for the year ended March 31, 2025, which the company filed with the Securities and Exchange Commission on May 21 as well as our other filings, all of which are available on our website. The company disclaims any obligation to update these forward-looking statements. On today's call, management will refer to non-GAAP net income, non-GAAP financial measures. Tables of reconciliation of GAAP to adjusted financial measures can be found in the company's earnings release. With that, I will now turn the call over to Chair, President and Chief Executive Officer, Daniel McGahn. Daniel?
Daniel Patrick McGahn: Thanks, Nicol, and good morning, everybody. I'll begin today by providing an update and sharing a few remarks on our business. John Kosiba will then provide a detailed review of our financial results for the first fiscal quarter, which ended June 30, 2025, and provide guidance for the second fiscal quarter, which will end September 30, 2025. Following our comments, we'll open the line up to questions from our analysts. We kicked off fiscal 2025 with accelerated growth. Our results surpassed expectations, highlighting the strength and discipline fueling our business. This was our strongest quarter in years, a clear signal that our strategy is delivering consistent positive results and that the financial leverage we've talked about can happen. One of the key highlights for the quarter was a request from a customer who asked us to accelerate delivery for a specific project. This boosted our results, reflects the strong relationship we have with our customers and demonstrates the rising demand across multiple markets, especially in the Materials sector. We crossed a major milestone this quarter. Revenue exceeded $70 million for the first quarter. This is the acceleration we've been signaling over the past months. Total revenue came in above our guidance range, growing by 80% versus the year ago period, significantly driven by organic growth. Our Grid revenue led the way, accounting for over 80% of AMSC's total revenue and growing over 85% versus the year ago period. Meanwhile, our Wind business posted extremely strong growth as well, up nearly 55% from the year ago quarter. We delivered net income of over $6 million, marking our fourth consecutive quarter of profitability. Gross margins topped 30%, driven by a combination of higher revenues and increased operating leverage through a near ideal product mix. A key thing to note is that this quarter truly showcased the margin profile and operating leverage we've been working towards. In many ways, it was a near-perfect quarter, one the team feels very proud of, and one made possible by the relationships we have with our customers. We closed the quarter with a strong balance sheet of over $210 million in cash. Simply put, the business really is thriving. This quarter, the Materials sector was the main growth driver driven directly by semiconductor capacity expansion. We believe this sector growth is fueled by demand for artificial intelligence applications and data center infrastructure. We closed the quarter with a 12-month backlog of over $200 million, up from $160 million the year ago quarter, and a total backlog of over $300 million. Over the past 2 quarters, we brought in an average of just under $70 million in new orders each quarter. This is above the trailing 4-quarter average of over $60 million of new orders per quarter. We continue to see strength across a range of industries. Revenue this quarter came from a diverse set of sectors. About 1/4 of our sales came from Traditional Energy projects with another quarter from Renewable Energy projects. Materials projects driven by semiconductor accounted for nearly 25%, while military and other industrial sectors made up the remaining portion. First quarter orders exceeded $63 million and reflected demand across Renewables, Traditional Energy, Materials, specifically semiconductors and mining as well as Industrials and Utilities. Notably, the semiconductor industry is in the midst of a major capital expenditure cycle, and we are seeing the benefits of this. We see more semiconductor orders on the horizon and more broadly in the Materials sector. I'm including semiconductors in the materials sector along with mining, metals and other specialty materials. Traditional Energy appears to be robust in the coming quarters as well. We feel encouraged by our strong momentum and believe the business is exceptionally well positioned for the future. Now I'll turn the call over to John Kosiba to review our financial results for the first quarter of fiscal 2025 and provide guidance for the second quarter, which will end September 30, 2025. John?
John W. Kosiba: Thanks, Daniel, and good morning, everyone. AMSC generated revenues of $72.4 million for the first quarter of fiscal 2025 compared to $40.3 million in the year ago quarter. Our Grid business unit accounted for 83% of total revenues, while our Wind business unit accounted for 17%. Grid business unit revenues increased by 86% in the first quarter versus the year ago quarter. This year-over-year increase was led by organic growth and the contribution of NWL revenue. Wind business unit revenues increased by 54% in the first quarter versus the year ago quarter. This year-over-year change was driven by increased ECS shipments. Looking at the P&L in more detail. Gross margin for the first quarter of fiscal 2025 was 34%. This is up from 30% in the year ago quarter. Gross margin for the quarter was favorably impacted by increased revenues, a favorable product, project and market mix, which includes beneficial impacts across the business due to pricing increases across our product lines. And lastly, we continue to experience high levels of factory utilization. This was an ideal culmination of events that yielded these elevated gross margins. Moving on to operating expenses. R&D and SG&A expenses for the first quarter of fiscal 2025 were $18.5 million compared to $11.2 million in the year ago quarter. Approximately 23% of R&D and SG&A expenses in the first quarter of fiscal 2025 were noncash. Our net income in the first quarter of fiscal 2025 was $6.7 million or $0.17 per share. This compares to a net loss of $2.5 million or $0.07 per share in the year ago quarter. Our non-GAAP net income for the first quarter of fiscal 2025 was $11.6 million or $0.30 per share compared with non-GAAP net income of $3 million or $0.09 per share in the year ago quarter. Please see our press release issued last night for a reconciliation of GAAP to non-GAAP results. We ended the first quarter of fiscal 2025 with $213.4 million in cash, cash equivalents and restricted cash. This compares with $85.4 million on March 31, 2025. In June, we completed a public offering, generating total net proceeds of $124.6 million, including the follow-on option. We generated $4.1 million of operating cash flow in the first quarter of fiscal 2025. Now turning to our financial guidance for the second quarter of fiscal 2025. We expect our revenues will be in the range of $65 million to $70 million. Our net income on that revenue is expected to exceed $2 million or $0.05 per share. We expect our non-GAAP net income to exceed $6 million or $0.14 per share. With that, I'll turn the call back over to Daniel.
Daniel Patrick McGahn: Thanks, John. During the first fiscal quarter, the business accelerated faster than projected, and the results speak for themselves. The business outperformed. We saw revenue grow sequentially now for the past 5 quarters. We reported our fourth consecutive quarter of net income. We achieved our eighth consecutive quarter of non-GAAP profitability with more than $10 million this quarter, outpacing even our internal scenarios for the quarter. We showed significant gross margin expansion, and our backlog continues to be very healthy. This was a remarkable and exceptionally strong quarter. We have sustained an average quarterly revenue above $65 million for the past 3 quarters, elevating our business to a higher performing level. And you can see we are bullish about our expectations that this trend could continue next quarter. We are growing. We are ahead of schedule, and we are executing with discipline and focus. These results reflect our progress in scaling the business, diversifying revenue and driving outstanding financial performance. We see major tailwinds and long-term opportunities across our core sectors. In 2025, Traditional Energy, led by oil and gas, will see over $1 trillion in capital expenditures. Mining projects have over a $1 trillion global pipeline. Defense spending nears $3 trillion. Renewables will attract over $0.75 trillion and global data centers are set to exceed $0.5 trillion in capital investments. Semiconductors driven by AI and Data demand will see approximately $160 billion in investments in 2025. Our footprint outside the United States, particularly in Renewables, positions us well to benefit from international investments. In India, for example, Wind capacity is set to double by 2030. These are massive durable tailwinds, and we believe we are well positioned to benefit. So what's next? We see a strong business continuing in Materials driven by semiconductors. This quarter was exceptionally strong because, as I previously have mentioned, one key customer pulled in systems earlier than expected, highlighting our ability to execute. Even with that pull forward, our outlook remains strong with revenue levels over $65 million a quarter. The guide for our second quarter is better than we communicated for our first quarter. We also see continued strength and a healthy pipeline in Traditional Energy. We're making inroads into data center infrastructure projects, which we believe could become a meaningful growth driver going forward. It is early days for us here. Looking further ahead to next year, we see increasing potential in the Renewables market, particularly in India, where the ramp is projected to continue. We anticipate continued strength in Materials and expect Traditional Energy to accelerate even further. We also believe our Military business could expand. As a reminder, we now serve military needs in 3 key ways: protecting ships, powering critical onboard systems and supporting essential manufacturing capacity at shipyards. Stay tuned for some potential progress here. In summary, the momentum we've generated has set a strong foundation. We're excited about the future, and we're exceptionally well positioned to capitalize on the opportunities ahead. Our backlog remains robust. Our orders pipeline shows some large potential orders on the horizon. We do feel several tailwinds potentially pushing the business more rapidly. There is a robust pipeline of acquisition targets that we might be able to add to our product portfolio. We're actively looking at how to best expand our business. We've been looking at both our Grid and Military offerings. We are in discussions with several targets, and we plan to remain disciplined in our approach. Our future-facing technologies help harmonize the world's desire for decarbonization and clean energy with the need for more reliable, effective and efficient power delivery. I look forward to reporting to you again following the completion of our second fiscal quarter of fiscal year 2025. Chuck, we'll now take questions from our analysts.
Operator: [Operator Instructions] And the first question will come from Eric Stine with Craig-Hallum.
Eric Stine: So maybe just to start on the gross margin number. I mean, I believe that's your all-time high number. But I mean, it sure seems like from your commentary that while I think you said nearly perfect, there were no onetime items in there that skewed that. So I guess, first, I'd like to confirm that. But then second, kind of your confidence level that this can be, given the momentum in the business, a 30%-plus gross margin business going forward?
Daniel Patrick McGahn: Yes. We've been talking about getting to 30% and above. We posted 30%, I think, before, but I think you're right, maybe not this high. We've talked about getting in the mid-30%s. And as you can see with -- at this revenue level, with this mix, it's possible. So my hope is a lot of the times when we have these conversations on what the potential of the business is, having the proof point, I think, is extremely valuable. John, if you want to dig into any of the puts and takes in the margin, feel free.
John W. Kosiba: Eric, so to answer your question directly, there are no, what I would say, onetime, call it, nonrecurring events like that, special events. We did have a very strong product mix within our product portfolios and our market mix. So we had, for lack of a better term, an ideal mix within our products, but not per se, like, call it, an inventory correction or something unique in an accounting calculation. But -- so no, I would say this was just a remarkably strong quarter with -- and I gave you the 4 bullets, right? When you have an ideal -- first, you got to have strong revenue, which gets the factories full. Second, you got to have a good mix, and we had both of those. So it was a great quarter all around when it comes to contribution margin of the business.
Eric Stine: Yes. No, that's great. Maybe turning to Wind then. I think last quarter, Daniel, I believe the direct quote was that Inox was on the cusp of a historic volume ramp. Curious, I mean, another step-up in Wind? I mean, does this kind of give you the confidence that, that historic volume ramp is underway? Or maybe the trends you see there, I guess, both on the order front and -- but also throughout the remainder of fiscal '25?
Daniel Patrick McGahn: Yes. I tried to be deliberate in what I said that this is something that we expect maybe as early as next year. And why I'm saying that is it gets down to the lead time on product and the demand that Inox is seeing from their customers appears to be growing, which should improve their cash position, which should then translate into the demand to us. But we try to be very careful and not overly optimistic that something dramatically in their behavior is going to change. But their business seems to be doing very well. They have a tremendous amount of backlog that they're able to either maintain or grow, and they're in a really good position to be able to ramp for their customers. A lot of what their effort right now is in construction. So getting things constructed and then connected and handed over to their customers is important. And we're there trying to support them as the best partner we possibly can be. We love the relationship with them. It's a well-run company, a great family that's involved in it. And we think that they're really in a great position, not just for the next quarters or year, but for the coming years, we hope. At least that's what it looks like from how they talk about their business. Things can always change, but it feels really strong at this point.
Eric Stine: Right. And your -- and just to confirm, when you talk about a potential ramp early next year, are you talking calendar year or fiscal year?
Daniel Patrick McGahn: To me, they're almost the same, right? It's only a quarter off. So I try to -- things in general trend. I don't know what specific quarter we're going to start to see the change happening. But we're at a level now. We've been much healthier than we've been and their backlog is commensurate with the potential higher revenue level for us in that business. But I think the best part of the whole conversation about American Superconductor is they're one of a series of great customers. They're a piece of the puzzle and a piece of the business. It's not the main driver for the business quarter-to-quarter or for growth year-to-year. It's a business that we want to be able to be present with that. We feel a great responsibility to them to help make their business go, and we're in a much healthier position to do that today than we've ever been.
Operator: The next question will come from Colin Rusch with Oppenheimer.
Colin William Rusch: As you look at the growth in the business and the fact that you had high utilization rates here this quarter, can you talk a little bit about, how you're thinking about capacity expansion? And the capabilities that you might want to weave into that incremental capacity either from a design or manufacturing flexibility perspective as you look at taking another step function with the business over the next 3 to 5?
Daniel Patrick McGahn: Yes. We're looking pretty seriously at how we can expand capacity, and that could be bringing labor in. It could be adding some additional tooling. As we've said kind of consistently, our manufacturing model is pretty CapEx-light. So nothing that we're thinking is a huge capital investment. But I think as we're mindful of the potential targets for acquisition that we look at, maybe there's some leverage there that could be done where we could also think about expanding maybe in a different way than we've done in some of the most recent acquisitions. Not that, that would be a driver for it, but certainly, we got to look at any and all options. I feel very comfortable, and John, please comment how you feel incrementally expanding labor, we've been able to do it in the markets that we're in. We've talked about expanding beyond this level of revenue in the past. And I think the capability is still there.
John W. Kosiba: Yes. Just to add to that, Colin. So when you look at capacity, you first have, call it, labor capacity and then secondly, you have space capacity. For us, we're still in the labor capacity constraint, not in the space. So we're really -- for most of our plants, we're very well utilized on one shift. And that's an important note. So we stick -- and we carefully monitor that to not go to a second shift because then you hit a different level of utilization if you trip into the second shift. But we're still on one shift in almost all of our plants. So the good thing for us is we keep on hiring people within one shift, and we're able to keep it in the existing footprint. At some point, we go to a second shift. And then if that second shift become fully utilized, then we would look at, call it, plant expansions.
Daniel Patrick McGahn: And it gives us the leverage like we had in this quarter where a customer says, can you do it faster? And we want to service our customers as best we can. So we had that instance here with this quarter. It's something we tried to get ahead as quickly as we could. And I think it's really a testament to the team that they were able to accelerate some shipments of some pretty large systems, which changed the financial profile of the company. But we try to let our customers dictate what they need and our financials are an output as opposed to a driver for these things. So we have a benefit of a great quarter, but it's really because of some great customers.
Colin William Rusch: Excellent. And then as you look at ways to drive revenue growth, could you talk a little bit about the potential for geographic expansion, if that's a consideration or the potential for increased pricing monetization of the value creation that you guys are providing? Because it looks to me like particularly in some of the higher tech areas, you guys are providing power quality solution that saves not only CapEx, but also reduce the risk on operations for facilities.
Daniel Patrick McGahn: Yes. I think both of those levers can be pulled on. So to go to the second one, what we're seeing is the value creation of the combined offering post the series of the multiple acquisitions is greater than the sum of the parts. So we're able to do more, I think, today with what we have than we could have done separately as the different entities. So if the value is higher and you can convince customers that it is, then obviously, pricing can scale with that. So we try to do that as best we can. It's not always the case, but we're finding more and more in projects. We're bidding in a lot more content per order than we were even a couple of years ago. So -- and then the second one is international, something strategically we look at and examine. We kind of made a purposeful pivot back to the U.S. a long time ago when we were trying to reconstitute the business grid and really focus on execution at home and build a business, get the nascent business in the Military going, and I talked about the multiple shots on goal there with that one. So it feels like I think there's more expansion potentially in the U.S. and North America. But there obviously is a lot of fertile ground globally that we could go into in Europe or even Latin America or geographies that we participated in, but maybe haven't really had a full offering from an operational standpoint there. So that's something strategically you look at, but you kind of need the right situation, and that might be something that through acquisitions help kind of get us there quicker. But that all remains to be seen. I don't want to tell you, Colin, definitely, that's where we're going to head, but it definitely is something that we need to look and consider. And it really then continues to expand the markets we can participate in. But I think the team has done a really good job of proving what we can do here in the U.S., proving how we can be responsive to customers, proving the value of the technical expertise and the technology itself. And if we can expand the market globally, we'll certainly look at that [ right ] in the coming years.
Operator: Your next question will come from Justin Clare with ROTH Capital Partners.
Justin Lars Clare: So I wanted to just follow up on the gross margin. I wanted to see if you could share maybe a little bit more detail on potentially what end markets or particular product lines might have driven the higher gross margins in the quarter? For example, does the semi business tend to have higher margins than the corporate average? And then just as we think through, as you scale revenues here, if you are delivering revenues, let's say, at $70 million or above, would you anticipate gross margins at 30%-plus? Is that kind of a fair assumption here? [Technical Difficulty] I might have lost you guys.
Operator: This is the Operator. It seems that our speaker line has disconnected. Please hold while we reconnect. We have our speaker line to reconnect. Please proceed.
Daniel Patrick McGahn: That was a fun little glitch. Can you hear us okay, Justin?
Justin Lars Clare: Yes, I got you. Did you hear my question?
Daniel Patrick McGahn: Yes, I got you all and I started to answering that and I started to hear music again. So sorry about that. I guess it's so good that there's music in the air for everything that we're doing today. But specifically to the margin, part of it is materials and semiconductor. There was an acceleration in that for some key projects that we had. And to be very blunt, the content, I'll say -- I won't say the pricing is different, but the content that we shipped was things that, as you put in the period, have a higher margin. But on the total project and you look at them, they're similar to the rest of the business. So it was a little bit of a -- maybe an anomaly or a onetime kind of thing from that standpoint. But I don't want you to feel like the semiconductor business is substantially different. Most of our projects are about the same margin. So the challenge we have sometimes is there'll be either a push or a pull on a part or a full project, and that may change, and that's partly what we put into the range of the guidance there. So we feel really good about the material part of the business, and we feel great about grid. You want to comment more specifically, John? You said, you talked about $70 million plus in revenue and 30% gross margin?
John W. Kosiba: Yes. I mean you saw this quarter on north of 70%. We were in, call it, the upper low-30s, 34%, right? Given a normal mix, I mean, of course, there's going to be scenarios where, call it, the opposite happens, a really bad mix. We could be in the upper 20s maybe. But I would say when you're looking at -- if we had a, call it, a normal mix, but just normal, call it, run-of-the mill mix, I would say 30% is a number we should be very comfortable with when we're approaching 70% -- $70 million in revenue.
Daniel Patrick McGahn: And we purposely didn't put out a target like that because we knew it was going to happen, and we figured for the audience that the proof is in the pudding. It's better to do it than talk about it. So we don't talk about the targets and where we can go. And I know sometimes people get particularly annoyed with me when they ask those questions. And a lot of it is, let's just show you. The business really has come a long way from $40 million, $55 million a quarter to now and to the -- we're guiding to above the mid-60s. So it's really a robust business and the operating leverage is there. And we don't have to say it will be there. We can show now that it is.
John W. Kosiba: If you just look at last year, we averaged $55 million a quarter in revenue, and we were at 28% gross margin. So all the evidence is there. I don't get too worked over any one quarter. This was a great quarter. We're proud of it. But when you look at the business over a longer period of time, when you look at this business at the end of the year, and if we were pushing $70 million a quarter for all 4 quarters, I mean, we're going to have a good result, no question.
Justin Lars Clare: Yes, certainly. And yes, it's definitely good to see. I guess then maybe just shifting over, you had talked about inroads into data center infrastructure projects. Just wondering if you could give us an update on how you're pursuing that market? Are you in conversations with data center developers? Or is it primarily with utilities or EPCs? And then just trying to think through, would your products be more likely to be suited at the substation? Or do you think there are opportunities within the data center infrastructure within the building that are areas that you could pursue?
Daniel Patrick McGahn: I don't want to be trident. So the answer to everything you said is yes, but I think the answer is, yes, and we're trying to figure it out. What we're finding is that the EPCs, the end customers, they're clamoring for capacity. And I think what we figured out is I think we have something that works for them at the substation level. Do we have something that fits inside? It looks like we might. But you ask me, when we'll see realizable revenue for that? It's not in the coming quarters. So I want to be careful. I don't want people to get overly excited that, hey, this is going to impact you in the next 6 weeks, right? We're now thinking in the next 6 quarters or so, how can we further impact the business. Could this have some meaningful piece to it? Yes. But again, just like we try to toot our horn with diversity, we're trying to build in all these markets in parallel. I think there is a tailwind on the Grid side with data centers and AI, and we're trying to do our best way to navigate it and try to sell what we think is some value to what customers -- to some critical customers need today. Some of these are EPCs that know us really well, which makes the conversations very straightforward. I'll leave it at that. Again, don't feel like this is going to dramatically change quarter-on-quarter. The kind of acceleration that we had this quarter is really just trying to help a customer with their immediate demand and getting their projects to meet a certain timetable. So most of our lead times on products are 9 months plus. In some cases, it can be 15 months plus.
Justin Lars Clare: Got it. Okay. And then just one more. I wanted to just check in. What do you see as the key factors that are enabling your success in the semiconductor market? Is this proprietary technology? Is it the breadth of the portfolio that you have? Are you able to put together a solution that is unique here given the wider portfolio that you have? Maybe you -- could you just speak to what's enabling you to win there?
Daniel Patrick McGahn: Yes. I think, again, just to answer yes to all the different pieces that you're saying there. I think it's more content, it's more valuable content, it's more proprietary content. I think we have something that is unique in the market. I think that we've been able to hone our chops in getting projects and bigger projects and now you're starting to see more significant capital spend in the semi space, but also broader in materials and mining and metals and the processing of all those materials. So most of those processes are very electrically intensive, which means power quality, power resiliency and power supply are all critical to the operation. So we're now able to sell, what I'll say, a more complete solution, and we're benefiting from that.
Operator: The next question will come from Tim Moore with Clear Street.
Tim Moore: Impressive execution on your strategy and the profit margin expansion. Part of our investment thesis when we launched [ coverage ] recently was really your operating leverage step-up of absorbing the fixed costs and adding acquisitions helps to really drive higher incremental margin as seen in the June quarter you just reported. So one question I actually have is, if I back out our rough estimate of possible sales contribution from acquisitions, I mean organic growth just seems phenomenally strong, maybe 35% in the quarter -- the June quarter. What do you think is -- looking at your backlog and the lead times you mentioned and conversion and where they stand, what do you think might be a realistic organic sales growth pace for this year? Is 20% possible on the organic growth side as you [ anniversary ] the acquisitions?
Daniel Patrick McGahn: You asked fantastic questions, Tim. So I think your thesis got proved pretty quickly in the leverage. So kind of kudos to you to come in and say that's what you thought could happen to us, and now it's happening. So I -- and then you're doing the reverse math, and I had the answer in case -- and we grew quarter-by-quarter by almost 15%. So I don't want to say I simply don't know. We've been growing at 20%, 25% when we look at kind of the organic business. Some quarters, it might be 15% -- some years, it might be 15%. It feels like today that we're going into a bigger market. It feels like there's a lot more investment in the areas that we're seeing benefit from, and I tried to go through a bit of that in the prepared remarks. We're just trying to hang in here with key customers and be able to deliver as rapidly as we can. And that's why John can answer the questions about capacity pretty succinctly because these are things that we're thinking about every day. I don't want to dodge your question totally, Tim, but I don't really know how much it could be, but we've demonstrated we can do 20% to 25%. And organic, I guess, we've now demonstrated we can do 35%. If the markets continue to hold, the business wants to be able to respond with the growth that the customers drive us to. But again, it really comes down to what the offering is, the proprietary nature to it and these key customer relationships. We've gotten designed in with so many industries now that it gives us multiple shots on goal and more diversification in the markets that can drive us.
Tim Moore: That was actually very helpful. I appreciate the color. Another question that we have is, obviously, the strengthening of the U.S. electrical grid has been a theme in the last couple of years. But from what we're seeing in some of our coverage, it's really accelerating more since the April executive order, maybe by the administration. Have you seen kind of any more incoming calls or inquiries just for better awareness of your brand and your solutions out there for grid reliability and efficiency? Have you kind of seen an uptick on that in the last couple of months?
Daniel Patrick McGahn: Yes. In general, I'll say yes. I think what you're seeing is a signal in the market that maybe there's a bit more stability in the policy that can help drive solve some of the problems that have been with the grid now for us -- for the better part, I'll say, of a decade that are becoming more exacerbated as our general thesis on why we're so relevant is that the grid is not designed to do what we're asking it to do. And in many ways, we try to step in and fix incrementally the existing grid to make the next project work, be it on the power generation side or be it on power consumption side or just in the grid itself, hardening the grid, making it more robust and making it more resilient. So in a lot of ways, I think the thesis is our time has kind of come here. This is the investment in the grid that people have thought needs to happen, should happen. And I think the demand for electricity is really what's ultimately driving that investment. And as long as that continues to persist for the coming years, we want to be in a position to take best advantage of that, that we can.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Mr. Daniel McGahn for any closing remarks. Please go ahead, sir.
Daniel Patrick McGahn: This quarter really has been exceptional. Our first quarter performance confirms we're growing faster, more profitably and with greater scale than ever before. Our growth reflects the strength of our business and the market demand for our products and services. We are prepared to capitalize on the growing demand for energy and the need for a stable grid to support it. We've delivered another outstanding quarter, and we can see that the fundamentals of our business are well grounded. The acquisition of NWL has exceeded our expectations. This is truly an exciting time here at AMSC. We approach the remainder of fiscal 2025 with confidence in our team and business, and thank you all for listening today.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.